Operator: Good afternoon, ladies and gentlemen. The conference call will begin shortly. Again, the conference call will begin shortly. Good afternoon, and thank you for joining the Accel Entertainment, Inc. Q4 and full year 2024 earnings call. My name is Kate, and I will be the moderator for today's call. At this time, all lines are in a listen-only mode and will be until the question and answer portion. If you would like to queue up for a question, please press star one on your telephone keypad. I would now like to turn the call over to Derek Harmer, General Counsel and Chief Compliance Officer. Please proceed.
Derek Harmer: Welcome to Accel Entertainment, Inc.'s fourth quarter and full year 2024 earnings call. Participating on the call today are Andy Rubenstein, Accel's Chief Executive Officer, Matt Ellis, Accel's Chief Financial Officer, and Mark Phelan, Accel's President of US Gaming. Please refer to our website for the press release and supplemental information that will be discussed on this call. Today's call is being recorded and will be available on our website under events and presentations, within the investor relations section of our website. Some of the comments in today's call may constitute forward-looking statements within the meaning of the Private Securities Reform Act of 1995. These forward-looking statements are subject to risks and uncertainties. Actual results may differ materially from those discussed today. The company undertakes no obligation to update these statements unless required by law. For a more detailed discussion of these and other risk factors, investors should review the forward-looking statements section of the earnings press release available on our website, as well as other risk factor disclosures in our filings with the SEC. Any projected financial information presented in this call is for illustrative purposes only and should not be relied upon as being predictive of future results. The inclusion of any financial forecast information in this call should not be regarded as a representation by any person that results reflected in such forecast will be achieved. During the call, we may discuss certain non-GAAP financial measures. For reconciliations of the non-GAAP measures, as well as other information regarding these measures, please refer to our earnings release and other materials in the Investor Relations section of our website. I will now turn the call over to Andy Rubenstein.
Andy Rubenstein: Thanks, Derek. And good afternoon, everyone. Thank you for joining us for today's call. I am pleased to report we had another record-setting year with total revenue of $1.2 billion and adjusted EBITDA of $189 million, proof of the resiliency of our convenient local gaming offering. It was a big quarter for us. We entered into Louisiana on November 1st and acquired Fairmont Park outside Saint Louis on December 2nd. Our teams are hard at work integrating Louisiana and preparing for the phase one opening of the Fairmont Casino in the second quarter of this year. In terms of financial performance, Illinois, our largest market, posted market-wide GGR growth of 4% year-over-year, outperforming Illinois casinos which were down 3% year-over-year on a comparable basis. We are proud of the strong foundation we have built in our home state, leading in a model that's a win-win-win for our state, our partners, and local convenience-based gaming providers like us. During the quarter, our location count in Illinois was down again sequentially. This was due to the strategic closures of sixteen underperforming locations. Without these closures, our location count would have been flat for the quarter. For the full year, we strategically closed fifty-four underperforming locations, which helped us right-size our operations in response to the 1% increase in the state gaming tax on July 1st, 2024. We expect this process to continue as we review our portfolio and look for opportunities to improve financial performance. We have identified a subset of locations within our bottom decile performers we will phase out over the coming quarters. Given we have an attractive pipeline of promising locations, we expect near-term Illinois net unit growth to potentially be flat with planned positive impacts to EBITDA and greater returns on invested capital as we rotate locations. Across our footprint, we continue to refine our sales and operating model, focusing on the highest hold per day locations. The improvement in the composition of our portfolio helped drive both top-line and bottom-line growth, driven by choiceful segmentation and resource allocation. In addition to what I just mentioned, we have leaned into our continuous process of reviewing our markets and operations to find areas of improvement. As a result, we have identified additional efficiencies and opportunities for growth. It will result in improved performance and an increase in free cash flow. On the regulatory front, Illinois continues to lay the groundwork for ticket in, ticket out, also known as TITO, which should make cash processing more efficient. More importantly, it will create a more convenient experience for our players, allowing them to switch between games in our locations without cashing out and cashing in each time, making our sites more akin to a casino experience. We are hopeful TITO will be rolled out in 2025. We continue to monitor regulation related to this. Before I turn it over to Mark, I am going to take a few minutes to talk about Accel's value proposition and where we see our greatest opportunities for growth. For both our customers and players, we provide a high-quality slot gaming experience at a low price point that can be accessed by our players at a local convenient retail location of their choosing in fifteen minutes or less from their home. We support retail gaming partners by providing them with high-margin revenue gaming products and labor-light self-service technology. We instill player loyalty through our rewards programs by creating memorable player experiences with our diverse gaming selection. And finally, we maintain collaborative and reliable partnerships with regulators across eleven different regulatory structures, all while generating attractive returns on capital in the low teens. In our core route-based business model, our steady growth algorithm is both simple and compelling. We target low single-digit revenue growth, mid-single-digit EBITDA growth, and high single-digit free cash flow growth, assuming normalized CapEx levels, which Matt will address later. Looking ahead, the primary levers for growth in our core route are: one, growing organically in Illinois, Nebraska, and Georgia through both newly licensed establishments and converting competitors' locations; two, driving profitability in Nebraska and Georgia through operational execution and strategically positioning ourselves in the face of favorable legislation; three, collecting a greater share of location economics through selectively owning establishments in markets where this is permitted and is otherwise profitable; and four, preparing ourselves for future opportunities in new states likely to legalize local gaming in the future. Outside of our core business, our M&A pipeline remains active, as demonstrated by the Fairmont and Louisiana acquisitions. We are confident that we can leverage our proven capabilities as a local gaming operator to convert opportunities in the attractive and sizable nationwide $15 billion plus GGR local gaming market. Most assets in this market are unconsolidated and sit at EBITDA levels that are below the radar of larger gaming companies, conditions that play to our strengths. With that, I am going to turn it over to Mark Phelan to provide an update on Fairmont.
Mark Phelan: Thanks, Andy. We closed the Fairmont acquisition on December 2nd for approximately $40 million in Accel stock after adjusting for working capital and the price of Accel stock at close. The acquisition includes a master sports betting license with a long-term partnership with FanDuel, a horse race track, off-track betting facility opportunities, and the ability to develop a best-in-class locally focused casino. This transaction builds on our core capabilities in local gaming we have honed over the last fifteen years with attractive returns on capital and free cash flow. We are combining our local gaming expertise with key partnerships in areas outside our core business to create an exceptional customer offering. As a reminder, we expect to develop this project in two phases. Immediately after closing, we started construction on phase one of our casino, which will be built in the existing grandstand with approximately 255 electronic gaming devices, four electronic table games, and significantly improved food and beverage amenities. As of now, we expect to open phase one during the second quarter of 2025, and we look forward to welcoming players once the facility is open. For phase two, we will build a permanent casino on-site with detailed plans for 600 plus slot machines, 24 table games, food and beverage amenities, and a new improved FanDuel sportsbook. With that, I will pass it over to Matt Ellis to go over the fundamentals of the quarter.
Matt Ellis: Thanks, Mark, and good afternoon, everyone. For the fourth quarter, we had total revenue of $318 million, a year-over-year increase of 6.9%, and adjusted EBITDA of $47 million, a year-over-year increase of 6.2%. For the full year, we set a new Accel record with total revenue of $1.2 billion and adjusted EBITDA of $189 million, year-over-year increases of 5.2% and 4.2%, respectively. As of December 31st, we had 26,346 terminals in 4,117 locations, year-over-year increases of 5% and 3.9%, respectively. Revenue per location for the quarter in our core states was as follows: Illinois was $868 per day, an increase of 3.5% year-over-year; Montana was $614 per day, an increase of 4.6% year-over-year; Nevada was $786 per day, a decrease of 6.7% year-over-year; Nebraska was $253 per day, an increase of 5.9% year-over-year; and Louisiana was $979 per day. The increases in Illinois, Montana, and Nebraska really emphasize the strength and resilience of both our business model and, more importantly, consumers who continue to choose our high-quality local and convenient offering. Capital expenditures for the fourth quarter were $11 million of cash spent, and capital expenditures for 2024 were $67 million of cash spent. For the full year, we spent $2 million on Fairmont and Louisiana, leaving $65 million of cash spent in our existing markets. At the end of the fourth quarter, we had approximately $314 million of net debt and $425 million of liquidity, consisting of $281 million of cash on our balance sheet and $144 million of availability on our credit facility. Looking ahead, we are forecasting $75 million to $80 million CapEx for 2025, comprised of $39 to $41 million in our existing markets, $5 to $7 million in Louisiana, and $31 to $32 million for Fairmont. I would like to note that CapEx for Fairmont includes both phase one and initial construction for phase two. After Fairmont and the initial CapEx in Louisiana, we expect company-wide normalized CapEx to return to $40 million to $45 million, which will be an encouraging boost to free cash flow and returns on capital. On our capital allocation strategy, we continue to favorably view share repurchases as an effective way to return capital to our shareholders. During the quarter, we repurchased 361,000 shares at an average purchase price of $11.14 a share, for a total of $4 million. For the full year, we repurchased approximately 2.4 million shares at an average purchase price of $10.42, for a total of $25 million. Earlier this week, our board of directors authorized replenishing our share repurchase program back to $200 million. With our strong balance sheet and low leverage, we are in a unique position where we can grow our business and continue to return capital to shareholders. With that, I would like to turn it back over to Andy Rubenstein.
Andy Rubenstein: Thanks, Matt. As I mentioned earlier, we are very pleased with our performance and the fact that our teams are working hard to complete construction on phase one of the Fairmont Casino. For the immediate term, we remain focused on executing our growth algorithm with improving cash flow and returns. Long term, we look forward to capitalizing on the significant growth opportunities ahead of us as an aligned and incentivized Accel team. Accel remains strong as evidenced by our results and healthy balance sheet, enabling us to pursue a multi-pronged approach to capital allocation, making us a compelling investment. Local gaming is an attractive growing niche within the broader gaming market, with multiple opportunities to generate strong and consistent revenue and EBITDA growth, as well as strong free cash flow and returns on capital. We will now take your questions.
Operator: We will now begin the question and answer session. If for any reason you would like to remove yourself from the queue, please press star followed by two. As a reminder, if you are using a speakerphone, please remember to pick up your handset before asking your question. The first question will come from the line of Steve Pizzella with Deutsche Bank. Steve, your line is now open.
Steve Pizzella: Thanks, Matt and Andy. There are a lot of moving parts with adding in Louisiana to the model for ten months in 2025, everything that comes with Fairmont, and the added temporary casino. How should we think about the contributions to the model?
Matt Ellis: Thanks, Steve. Let's start with Louisiana. You look back to when we disclosed closing it, and we disclosed $6 million of EBITDA. So I think for the full year 2025, you should add that. And like you called out, two months of them in 2024's results. For Fairmont, as Mark said, we are planning to open in Q2. So you might want to split the difference there. But as we sort of talked about earlier, full run Fairmont, all built out, all said and done, we forecasted $25 million of EBITDA. And we have sort of guided that the temp would do about a third of that. So you have got a third of that $25 million, and then you need to prorate it for opening in, we will call it, the middle of Q2.
Steve Pizzella: Okay. Thanks. That makes sense. And then just looking at Illinois in January, it looks like it started off pretty strong, at least looking at the data we can see. Did you see similar trends in other markets? And are you able to comment at all on February?
Andy Rubenstein: Yeah, I mean, it's Andy. Thanks, Steve. We had very favorable weather in January this year, where last year, it was a bit rough. And then the weather in February here has been not as good as it was last year. I wouldn't say they will actually balance themselves out, but elsewhere in the country, we haven't seen the extremes that we've experienced here in Illinois with the weather factor. Overall, I think there's been a well-received demand for our gaming product. And I think we are seeing good results early from some of the remodels we are doing in Louisiana and some new product we are introducing in some of the other markets. To kind of upgrade our routes has all been very positive from a consumer perspective.
Steve Pizzella: Okay. Thank you. Appreciate it.
Operator: Thank you for your questions. The next question comes from the line of Chad Beynon with Macquarie. Chad, your line is now open.
Chad Beynon: Hi. Good afternoon, Andy and Matt. Thanks for taking my question. Andy, you mentioned just the pruning of the Illinois units really to focus on free cash flow per location. So, you know, definitely appreciate that discipline there. At what point will you be through this, and then we should expect for some growth in the market?
Andy Rubenstein: Yeah. So I don't think they are totally tied together. The pruning is really that bottom, the very bottom of our portfolio. And there will always be some that need to be pruned. And we make investments or we have confidence in our ability to either reignite poor-performing locations or locations that we think will be decent performers. The owners of the facilities aren't that committed to gaming, and therefore, we are not getting the returns that we need. So that part of our business will be a constant process. And I think as we've been a little more aggressive in the pruning, as we've seen costs increase from labor, we've seen a tax increase last summer. Our focus is to obviously increase the free cash flow. And I think the growth will be continuous because as our assets will be redeployed into better accounts. And I think you will see it constantly. I think it will really kind of manifest itself probably later this year into next year where the average profitability of the location will be noticeably better.
Chad Beynon: Okay. Great. Thank you. And then last week, one of the big manufacturers in the space acquired an e-pull tab or, you know, a company in the charitable gaming space. And they were able to shine some more light on that sector. I believe when you guys talked about, you know, the potential areas of expansion for Accel, e-pull tabs was in there. I don't think a lot of investors or analysts had a full appreciation of the sector. But now that another company in the space has shined light on that, and they talked about, you know, potential expansion and how large the sector is. Is that something that you think is a little bit more front and center in the near term, just given some of the heightened awareness for that sector, or does that kind of weigh on the scale equal to some of the other opportunities for future growth? Thank you.
Mark Phelan: Hey, Chad. It's Mark. Good question. So that market is a really interesting one, and it was a great outcome for the company that was purchased, Grover, and we are friendly with that management team and happy that they were able to realize the value they did. But that's a real content market. It's less of a products and service market that we are familiar with. So it made a lot of sense for Light and Wonder to purchase them because of the superiority of their content. In terms of Accel participating in that market, we would really have to have a partner who could provide that kind of superior content, and we could complement that with our ground game. So it's an interesting market, but it's one where it's something we'd have to partner with someone to really participate in.
Chad Beynon: Okay. Thanks, Mark. And then lastly, if I can sneak in one more. There's been some legislation here in January and February. I think most of it has been around just moving tax rates around and, you know, there's been some that would potentially bring in iGaming or sports betting. We haven't seen as much in your sector. Is that something that you think still could come maybe in this legislative session here kind of early in 2025 that we're just, you know, not aware of at this point, or do you think a lot of future expansion in the route market kind of gets pushed into a later period in terms of legislation? Thanks.
Andy Rubenstein: Thanks. Yeah. This is Andy. It's something that we are always aware of. We haven't seen any real iGaming legislation bubble up in this legislative session. Inevitably, we'll see it. Whether it will gain any traction, not as likely as in the past. But I believe we will continue to see iGaming legislation in certain markets. I don't think it's as likely to be in some of the route gaming markets first. I think it's more likely to appear in markets that don't have route gaming or have minimal casino presence. Illinois, with extensive bricks and mortar route gaming, I wouldn't say it would be the first market that would pass legislation going forward, nor would Nevada, but we're constantly monitoring it. And we're trying to educate the legislators that the route gaming market is a much better solution with much more regulation and consumer protection than an iGaming product.
Chad Beynon: Appreciate it. Thanks, Andy.
Operator: Thank you for your questions. The next question comes from the line of Greg Gibas with Northland. Greg, your line is now open.
Greg Gibas: Hey, Andy, Mark, and Matt. Thanks for taking the questions. You know, wanted to ask, I guess, if you could speak to the growth opportunities you see in Louisiana. Do you expect to continue to be acquisitive in that market or focus more on organic growth there?
Andy Rubenstein: Yeah. Thanks, Greg. It's Andy. We see it's almost kind of a contradicting market. A mature market, one that's been around for thirty plus years. But at the same time, a market that's not that sophisticated and well developed. So you still have an incredibly fragmented market. And there's two markets in that that we're looking at in Louisiana. The truck stops, which I think there's, like, a hundred and ninety-seven truck stops in the state, and it's still heavily fragmented. Then even more fragmented is the bar market, which most bars in the state of Louisiana are utilizing very old legacy equipment, twenty plus years old. And we see the opportunity to improve our truck stops. We've done pretty well so far. And we're evaluating what needs to be done with the routes that we've purchased. I believe that will grow organically over time. And the truck stops, as some of the ownership transitions over the next ten years, one or two a year may be available for us to acquire and grow our presence.
Greg Gibas: Got it. That's helpful. And wanted to follow-up on Fairmont. I guess, one, could you maybe remind us of the timing of Phase two development? And I think you already kind of spoke to the uplift you expect to see with maybe phase one being a third of that. Wondering if you could maybe break out what this relates to the FanDuel component in that. And if not, could you maybe break that out?
Mark Phelan: So in terms of timing, I think we've got it to sort of end of 2027 for the phase two. As Matt pointed out, we're planning to go live with phase one in Q2, and that would give us a little over two plus years to build a more permanent facility. And we're not allowed to break out the FanDuel revenue, but...
Matt Ellis: Greg, it's Matt. We can't fully break it out. But if you think back to when we announced it, the track was around breakeven, maybe making a little. So that would sort of imply without, with just racing, F&B, and the sportsbook, sort of how the track was doing pre-Racino.
Greg Gibas: Got it. That's helpful. Thanks, guys.
Operator: Thank you for your questions. At this time, we do not have any further questions registered in the queue. So I will turn the call back over to Andy Rubenstein for any final remarks.
Andy Rubenstein: Yeah. Just wanted to thank everyone for joining us today. We will be connecting with you in about two months. I think the year's off to a really good start, and we'll be excited to share some of the progress we've made when we talk again in May.
Operator: That concludes today's call. Thank you all for your participation, and you may now disconnect your lines.